Operator: And good day, and thank you for standing by. Welcome to the third quarter fiscal year 2025 financial results conference call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during this session, you will need to press star one one on your telephone. You will then hear an automated message inviting your hand to raise. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Carla Gatzke, Corporate Secretary. Please go ahead.
Carla Gatzke: Thank you. Good morning, everyone. Thank you for participating in our third quarter earnings conference call. During today's presentation, we will make forward-looking statements reflecting our expectations and plans about our future financial performance and future business opportunities. These forward-looking statements reflect the company's expectations or beliefs about future events based on information currently available to us. Of course, actual results could differ. Please refer to slide two of the presentation that accompanies today's call, our press release, and our SEC filings for information on risk factors, uncertainties, and exceptions that could cause actual results to differ materially from these expectations. During this presentation, we will also refer to non-GAAP financial measures. You can find a reconciliation of these non-GAAP measures to the most directly comparable GAAP measure in the appendix to the accompanying presentation slides, which may be found in the Investor Relations page of our website at www.daktronics.com. Our earnings release for the 2025 third quarter, which was furnished to the SEC on a form 8-K this morning, also contains non-GAAP financial measures. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures, as well as discussion of certain limitations when using non-GAAP financial measures, are included in the earnings release, which has been posted separately to the Investors Relations page of our website.
Operator: I'll turn the call over to our current lead independent director, to become Chairman of the Board, Andrew Siegel.
Andrew Siegel: Thanks, Carla. Hi, everyone. I'm Andrew Siegel here in Brookings with the team. First, I'd like to thank the investors who have dialed in today. And before we move into a review of the results from the quarter, I'd like to share some perspective from the board regarding the leadership transition that you would have seen in the company's press release earlier this morning. After more than thirty-four years at Daktronics, Reece Kurtenbach is stepping down from his role as Chairman, President, and CEO. So on behalf of the board, I'd like to thank Reece for his many years of leadership and commitment to Daktronics. This commitment to you, our investors, our employees, customers, and the communities we serve, and for all that he's accomplished, strengthen, and protect the company's resilient position as a recognized industry leader with world-class strengths in product design and engineering, manufacturing, of course, the installation, integration, and services capabilities that allow us to exceed our customers' expectations. We are making this change today to move more quickly into mass to capitalize on the tremendous opportunity that our end markets represent. We believe the company must accelerate change to enhance our global competitiveness and drive new levels of commercial success and financial performance. To do this, the board believes we have to add new capabilities around these core strengths I mentioned just a moment ago. Today's announcement reflects our commitment to ensuring that we have the right leadership for long-term growth, profitability, and balance sheet efficiency goals. The board will engage a nationally recognized executive search firm to help identify a permanent CEO who will lead Daktronics on this mission. While this process continues, the board has appointed Brad Wehman, the company's Executive Vice President, as interim president and CEO. Brad's been with Daktronics since 1993. Earlier in his career, he served the company across manufacturing, engineering, product development, and other functions. In his current role, he oversees the company's commercial and high school and parks and recreation business, which makes him responsible for about thirty-five percent of the company's revenue. Additionally, the Board has asked Board member Howard Atkins to serve as acting CFO until a permanent CFO is named, allowing Sheila Anderson to fully dedicate herself to her previously announced new role of Chief Data and Analytics Officer. Howard will also continue to serve as the Chief Transformation Officer. In both cases, partnering closely with Brad. So with that, I will turn it over to Reece to walk through the highlights from the third quarter.
Reece Kurtenbach: Great. Thank you, Andrew. Good morning, everyone, and thank you for joining us today. Turning to our slide presentation on page three, fiscal second quarter 2025 highlights. We drove sequential order growth in the third quarter. Orders in our commercial segment increased nicely with further out-of-home bookings, international rebounded driven by the out-of-home business, and in live events, we secured an order for a major NFL stadium. As we have discussed in the past, the third quarter is historically a seasonally lower volume quarter because fall sports installations have been completed. There is a natural slowdown of outdoor construction projects, and we have two major holidays in the period, reducing the overall days of production. To offset these nearer-term dynamics, and the reality of deleverage of fixed costs, we successfully activated mitigation strategies to preserve margins such as cost reductions, reduction in shifts, and utilized capacity to focus teams on revenue generation and overall improvement activities. We also had a more favorable mix of business with higher portions of sales for product versus last year's higher level of contractor-type installation work in the third quarter. These actions resulted in a steady gross profit margin despite a twelve percent decrease in sales volume. Managing the business for profitability and effectively managing our working capital drove growth in cash flow from operations again, despite lower volumes. During the third quarter, our business transformation office completed the rigorous analysis and planning phase of our transformation plan and launched a number of initiatives designed to create additional sustainability in our operating margins. We also made strides in testing and training for launches of our updated service systems and enterprise performance management tools under our digital transformation program. Additionally, the analytical work completed allowed for a refinement of especially the achievement of growing revenue faster than our addressable market, which is currently estimated between seven to ten percent. Operating margins at a sustainable ten percent to twelve percent and seventeen percent to twenty percent in return on capital by fiscal 2028. I'll give a more complete update on the business and digital transformation program shortly. We remain overall optimistic about the long-term potential in our end markets, and we believe our strategic initiatives will position us well for future growth. I invite you to turn to slide four, market vertical, fiscal third quarter review for more details. Our focus is to drive profitable revenue growth in markets that achieve a rate of return higher than our cost of capital. Our approach in each market is based on our future views of these subsegments, including growth and profitability, alignment with our product portfolio and development roadmap, and market penetration to leverage long-lasting customer relationships. We benefit from our value propositions being best in class in the industry for providing valuable products and services, driving ongoing customer satisfaction. Let's discuss how our segments performed in Q3. In live events, the demand for Major League Baseball this season was smaller as a number of potential upgrades moved out into future seasons. We won one of the few large projects available, and this offset was securing a major project for a new customer and for a new NFL stadium. This project is planned to be converted to revenue late in our fiscal 2026 and into fiscal 2027. Our outlook for this segment remains similar to our last call. We expect live events demand to remain strong as venues enhance facilities to entertain fans and attract athletes. Orders in this market are large, and installation can be lengthy and complex, creating variability in period-to-period order and sales volumes. Our teams are focused on winning business with an attractive return on capital. Pictured here is an example of a video used in a minor league baseball stadium in Akron, Ohio. The RubberDucks are a recurring customer and highlight the use of digital display technology to enhance their venue to attract and entertain fans. Looking ahead, we continue to expect healthy secular demand for the in-bowl applications and expansion outside the bowl as more focus is placed on entertainment areas such as entryways, atriums, concourses, and adjacent entertainment zones. Our narrow pixel pitch line of products matches the needs of and continues to be in demand. Our commercial business primarily calls on sign companies to many types of customers and applications, including military, utilities, transportation, national retailers, quick-serve restaurants, casinos, shopping centers, cruise ships, commercial building owners, petroleum retailers, and other on-premise customers. Also included in this segment are out-of-home advertising companies and larger advertising displays we call Spectaculars, and orders can vary in this market also because of larger size orders in these two segments. Out-of-home activity was strong for our long-time national customers as we continue to drive orders from independent billboards. Spectacular order wins included an upgraded display for the rooftop of the Target building in Minneapolis. We continue to build out our AV integrator network and marketing to government and military customers to sell our narrow pixel pitch place. Our efforts are paying off as we have received orders from a number of new AV integrators and are seeing repeat business from this developing channel. Pictured here is an example of a narrow pixel pitch product utilized in an e-gaming facility at a university. We have made progress on manufacturing the displays for the center. The order in Atlanta we mentioned last quarter we expect the remaining revenue and installation to be complete late Q4. Our focus for this market is to grow our core areas, like spectacular, on-premise, and out-of-home, and continue to develop the integrator channel to market our narrow pixel pitch product lines, especially in control room applications used by military, utilities, and transportation agencies. Transportation variability in orders versus prior periods is natural in this segment, which is a large project business and therefore lumpy. Despite the down order comparison, our financial performance for this segment was solid as we repeat customers. We continue to see a trend in upgrades and in the in and around airports for digital signage. Our teams are focused on winning projects for intelligent transportation systems, including traffic management centers, airport projects, and other mass transit systems projects. The outlook for this segment remains solid and is poised to take advantage of selling our full line of video display systems from our NPP products to our prequalified and trusted ITS systems used by state and city governments. Pictured here is the Intuit Dome parking ramp that was installed last summer. This highlights the use of digital just digital outside of sports and the interdependencies between our business units. International. During the quarter, a high number of bids were converted to purchases, especially in the out-of-home space. We are actively quoting opportunities to additional out-of-home customers and for several mid-sized sports projects and continue to see signs of converting more quotes into orders. With our existing customer base and a focus on these types of new orders from a broad array of customers, we are laying the groundwork for future repeat and upgrade types of orders in the future. Pictured here is a digital display at Gaddafi Stadium in Pekka. High school. The market continues to convert to full video usage while orders were down slightly within the quarter due to very timing in order placement. We are booking orders at a record pace on a year-to-date basis. Quoting activity is outpacing last year's record performance. We began deliveries of our new higher margin product not only to support our customers but further bolster our contribution margin in this segment. The pictured installation at Hayward High School in Wisconsin highlights the conversion to LED video being a durable market trend. Our teams continue building, testing, and implementing capabilities as we continue to advance our control systems to enhance the live event entertainment experience and improve workflow efficiencies. Enhancements will empower our customers to deliver dynamic presentations using cutting-edge scoring and timing software, 3D data visualizations, real-time rendering, and integrated data through sports-specific applications. The addressable market for our new solution is broad, including anyone supporting live events, entertainment, and sports, even if they're not using Daktronics displays, and displayed it for a release this summer. Additionally, we are introducing cloud access, allowing customers to schedule, store, and manage their content and data sources from anywhere. The work that we are doing here sets us up nicely to increase our recurring revenue streams, which we intend to be a driver for gross margin expansion over time. Over the coming months, our teams will continue to test and refine features and develop the marketing and launch plans. Overall, long-term demand for digital displays is expected to continue growing, driven by new indoor LED product availability and our customers' desire to inform, entertain, and persuade their audiences using dynamic mediums. We will get into more of that, but first, for additional details on the financial results of the quarter and year, I'll now turn it over to Sheila.
Sheila Anderson: Thank you, Reece. I invite you to turn to slides five and six titled fiscal Q3 and year-to-date fiscal 2025 financial highlights to follow the third quarter and year-to-date financial outcomes. Quarter-over-quarter comparisons in this slide and related discussion are as of and fiscal quarters ended January 25, 2025, October 26, 2024, and January 26, 2024. Excuse me, January 27, 2024, unless otherwise stated. Orders for the third quarter of fiscal 2025 decreased by 2.7% from the third quarter of fiscal 2024. This decline was primarily due to reduced orders in the live events, high school park and recreation, and transportation business unit. As Reece highlighted, variability in our order rates between periods is natural in the large project business areas, influenced by the time of year for sports projects and due to some delays in buying behaviors. In live events, we booked a large project for an NFL stadium, and this will convert into revenue late in fiscal 2026 and primarily realized in FY2027. These declines were offset by order bookings in commercial and international business units, those increases both led by the strength of the out-of-home niche. Orders for the first nine months of the year increased by 1.2%. Third quarter fiscal 2025 orders increased by 5.2% from the second quarter of fiscal 2025. We have seen delays in US-based project bookings across markets, likely due to recent actions by the U.S. Government, including global tariff policy and federal funding priority uncertainties. We anticipate these conditions may impact the timing of expected orders in the near term, especially in our transportation business. Today's orders for the first nine months of the year increased by 1.2%. Based on a strong return to more normal seasonal trends compared to prior years and the large asphalt project bookings, the project backlog was $273 million at the end of the quarter. Quoting activity remains active across all segments despite macroeconomic uncertainty. Net sales for the third quarter of fiscal 2025 decreased by 12.2% compared to the third quarter of fiscal 2024. The third quarter of every fiscal year is characterized by seasonally lower volume. Sales decrease was driven by comparatively lower volumes in live events, particularly offset by increased fulfillment in the commercial, international, and high school park and recreation business units. On a year-to-date basis, sales levels are 3% lower compared to last year's record sales. Gross profit as a percent of net sales was 24.6%, similar to the 24.5% for the third quarter of fiscal 2024. Maintaining gross profit on a 12% volume reduction highlights the solid performance in adjusting and managing costs as demand fluctuates on a seasonal basis. Our teams utilize several tactics, including reducing shifts and workloads, scheduled to adjust for lower volumes and preserve gross profit margin. On a year-to-date basis, gross profit was 26.1% compared to 27.7%, attributable to sales mix differences between periods. During the quarter, we incurred additional costs for our business in digital transformation, down affiliation change, and corporate governance matters. These costs combined with lower gross margin dollars due to lower volume resulted in an operating loss of 2.4% of sales in Q3. Adjusted for one-time consulting and corporate governance-related expenses, operating margin was positive at 1%. On a year-to-date basis, the operating margin was 6% or 7.7% as adjusted. Increased operating expenses reflect investments in staffing resources to support information technology and digital transformation plans, as well as some sales team expansion to support opportunities for future growth. During the third quarter, we incurred $2.1 million in consulting services to support the implementation and acceleration of our strategies to grow and drive efficient, consistent profitability levels. We expect to invest $1 million to $2 million more in the fourth quarter of fiscal 2025 for the business in digital transformation initiative. Additionally, we incurred $2.7 million in advisory-related expenses for corporate governance matters and expect some costs related to this work in the fourth quarter. Our careful working capital management and business profitability adjusts operating loss for non-cash expenses like depreciation and loan fair value change. Drove cash flows from operations of $12 million for the fiscal quarter and $75 million on a year-to-date basis. Cash, restricted cash, and marketable securities totaled $102.2 million at the end of the quarter. Our working capital grew to $32 million with a ratio of 2.4 a month. Management's focus remains on maintaining a strong balance sheet and managing working capital level to the expected growth of the company. During the third quarter, we converted $13.9 million of base value of the $25 million senior second client secured promissory note that has to and have delivered these shares. Additionally, subsequent to the end of the quarter, we converted the remaining balance of the note and expect to deliver shares early in March. We will pay off the convertible note in full, saving the company approximately $5 million in interest over the remaining term. Note that these shares were included in the waiting for the full quarter because of the anti-dilutive nature of the fair value impacts to income. But in future quarters, these shares will be fully included in EPS. To offset a portion of share dilution resulting from the convertible notes to common stock, we began executing on our existing share repurchase authorization. And during the quarter, we purchased $9 million worth of shares for approximately 535,000 shares. We enter Q4, quoting activity is strong, and we continue to anticipate year-over-year growth in order bookings. However, we acknowledge that we are currently seeing some delays in order placements. Additionally, we recognize that spring baseball orders were smaller this year compared to last, and we have adjusted our capacity in the near term accordingly. Over the long term, given our continued financial performance, the underlying healthy fundamental drivers of growth persisting in our end markets, our strong leading position in the market along with the strategic initiatives we're undertaking, we are well-positioned for long-term profitable growth and returns.
Howard Atkins: Thank you, Sheila. This is Howard Atkins, also here in Brookings. You'll note that I'm going to talk about the business transformation in the company that's underway. There's a lot of detail in the press release and the deck that accompanies our remarks here today that speak to the specific initiatives that are underway. What I'd like to do is to try to provide some additional perspective on what the company is trying to accomplish and what this business transformation is all about. Many years ago, I worked for an enlightened CEO who used to tell his team that companies don't get better by being bigger; they get bigger by being better. Daktronics is already better. But in a nutshell, completing the journey from better to best is what the Daktronics business transformation is really all about. Being best for our shareholders by being best for our customers with the best team in the business. So let me describe what being best will look like at Daktronics. It's about providing great value to customers at economic returns that are well above the company's cost of capital. About continually developing and building durable client relationships. Nurturing relationships helps reduce customer acquisition costs over time, which in turn helps us provide a better deal for our customers and a better return for our shareholders. Staying ahead of the competition by continuing to innovate products and services that set performance and reliability standards in our industry. It means operating our businesses at maximum efficiency at the lowest cost across the supply chain. From procurement, inventory management, manufacturing, fulfillment, and aftermarket service. And finally, based on all of the above, delivering superior returns to our shareholders. The company's transformation from better to best in class can be expressed in a few key business and financial targets and objectives. First, from a shareholder perspective, we're aiming for ROIC, return on invested capital, in the top quartile of top-performing publicly traded manufacturing companies, which we believe is in the 17% to 20% range based on all available market data. And we're aiming to accomplish that by no later than 2028. We're also looking for top-line growth, as Reece mentioned, above our particular addressable market. In other words, verticals and geographies where we can compete on value and earn an adequate return on capital. We're currently setting 7% to 9% compound annual growth over the next three fiscal years as our revenue target. Market knowledge complemented by extensive global market surveys conducted recently with our consultant are being employed to strengthen the way in which our sales team are engaged with their customers so that we can win more business by delivering value at a fair price. Another target, improving the consistency and reliability of the company's revenue growth. Historically, live events have accounted for a large share of the company's top-line growth in some periods as much as 75% of that growth. Now live events is a really important segment for the company, and we will continue to allocate capital to it. All the other reportable business segments are now developing plans to grow at a combined compound annual growth rate above the total corporate objectives. As the revenue mix in the company is diversified, the quality of the company's revenue will improve, not just the total growth rate. A deep portfolio review across each of our reportable segments was conducted with our consultant last fall, has helped the company identify verticals with the longest growth runway and/or best margin capture potential, which verticals need to be improved to have margins approved before additional strategic capital is allocated. Now portfolio reviews such as the one that was recently conducted will become a regular aspect of the company's capital allocation process. We will continue to invest in leading-edge product development while simplifying the development process. Annual product development spend will be about $40 million this fiscal year, and will continue at around that same annual level. Although, we're currently reviewing the specifics within that $40 million to make sure that investment of resources is exclusively focused on just the mission-critical highest return initiatives. Another target, achieving operating margins in the 10% to 12% range through structural cost reduction. Over the last eight plus months, the management team reviewed, valued, and developed specific implementation plans for about $18 million in cost savings by fiscal 2028 at a full run rate from tighter inventory management, simplifying product complexity in the company, more effective procurement contract negotiation, and leaner, more targeted, more adaptable manufacturing capacity. We will be completing the next round of our cost recovery reviews for additional cost savings as part of the fiscal 2026 annual plan, which will be completed in April, and we will report out the results from that plan in our next quarterly review. Business transformations tend to be most successful when supported by business and financial management practices that are aligned with the objectives of the transformation and support the continuation of high-grade operating performance in the transformed company. Now at Daktronics, this is what my statement means. First, we've been looking at our compensation program. Several months ago, the company engaged a top-notch management consultant for compensation programs. With the support of that consultant, the company is putting finishing touches on a comp structure that is designed to align the long-term interest of the executive team with the long-term interest of our shareholders. Align the annual variable comp program with clear and precise performance objectives and enhance the company's ability to retain and, as needed, attract top talent. The company has been refining its annual strategic risk management and capital and CapEx planning to optimize capital allocation across the company. You'll be hearing some more from us over the coming quarters in terms of what exactly that means in terms of refining the planning process. Pricing guardrails have been put in place to help ensure business pricing margins are consistent with value-based selling and achieving acceptable ROI, return on investment. Digital transformation, another important process underpinning our future. Sheila's gonna talk in a second about more detail on the digital transformation. I would just say here, that getting our internal processes on a digital platform should improve efficiency and internal controls as well as provide a more effective and reliable interface with our customers on pricing and service. Let me conclude by saying that the Daktronics business transformation is not a project, and it's more than a process. It's an ongoing effort by the company to leverage its competitive advantages to realize and grow its full intrinsic value. Be the best for its customers, the best for its team, and, of course, the best for its shareholders. There's a lot to do and a lot left to do. The team is committed to owning the transformation effort because the team is committed to owning the results. So let me now turn it over to Sheila to discuss some of the more detail on the digital transformation progress.
Sheila Anderson: Hey, Howard. Let's move to slide nine, digital transformation updates. Our IT and data technology platforms are key in our business transformation as it supports our aggressive growth ambitions, data-driven planning, and is foundational to creating operational efficiencies. In fiscal 2025, we added products to our e-sales channel and improved back-office integration with systems and processes. While it delivered results, particularly in our high school park and recreation segments, currently, we are in the testing and training pre-go-live phases for certain parts of our enterprise performance management and service tools implementations. Our enterprise performance management tool, our testing of the consolidation and reporting phases are near completion, and we are set to run these systems parallel to ensure they seamlessly operate to launch as expected in May. The enterprise performance management tool has additional phases planned to launch throughout fiscal 2026, including the data capture of accessible and organized for teams to utilize in planning and capital allocation decision-making. The service system is set to launch this spring. Final documentation, training, and testing are also being performed to ensure the finance system and service system seamlessly integrate. We have also made a technology vendor selection for the sales reporting tool that we plan to launch during fiscal 2026. As we look ahead, we are planning for ERP upgrades to take advantage of the automation capabilities in the newest version. With that, I'll turn it back over to you, Reece.
Reece Kurtenbach: Thanks, Sheila. In conclusion, our summary on slide ten recaps our key highlights. Our performance serves as evidence that we are on a sustainable trajectory of growth and increasing profitability. Our transformation program supports our commitment to grow revenues faster than the addressable market growth, achieve 17% to 20% return on capital, and 10% to 12% in operating margin by fiscal 2028. Our multi-year transformational strategies and near-term progress on these goals demonstrate our commitment to improve and consistently earn returns above the cost of capital and in the top range of our industry. We are a global industry leader in best-in-class video communication displays and control systems. And we continue to focus on bringing value to our customers. We are the only US manufacturer of scale with a global footprint servicing by geographic market, and consistently demonstrate world-leading technology leadership, high-quality solutions, and world-class service. With that, I would ask the operator to please open the floor for questions.
Operator: Thank you. At this time, we'll conduct a question and answer session. As a reminder, to ask a question, you'll need to press star one one on your telephone and wait for your name to be announced. To withdraw your question, please press star one one again. Please stand by while we compile the Q&A roster. And our first question comes from the line of Aaron Spekella of Craig Home Capital Group. Your line is now open.
Aaron Spekella: Yeah. Good morning. Thanks for taking the questions. Maybe first for me on, you know, some of the delays in bookings. Sounds like it's not, you know, too broad-based, maybe a little more focused in the transportation segment. But could you just give a little bit more color there? You know, it sounds like you're still somewhat optimistic about growing orders for the year. Then if you can also just touch on, you know, kind of early read on tariffs and what that, you know, means for you, but also as you kind of compete in the market as well.
Reece Kurtenbach: Yeah. Thanks, Aaron. Many of our markets have these large projects that are part of the order mix, and that can create a lumpiness as order books on this particular day and then delivers over multiple weeks and quarters on into the future. And so we continue to see strong activity in quoting and interest from customers that are out there. And so we're seeing the order mix and are still optimistic on future growth of the business as a whole. So I would attribute most of this to a large order mix and timing. As far as tariffs, yeah, that's a dynamic environment. Overall though, what Daktronics as being a US manufacturer, we've been paying tariffs on semiconductors, which was the focus especially out of China, which was the focus of previous tariff initiatives by the last administration as well as the first Trump administration. The current tariffs are more broad-based across all products coming in from China, and that, we think, hits our competitors harder than us because we've already been paying some tariff and these are new to them in their world. So maybe a little opining on tariffs. I had no way prescribed that I have a prediction of where all that's going. But a little bit of a comment on orders. Any of that helpful?
Aaron Spekella: Yeah. No. That was thanks, Reece. And then, you know, maybe you touched on it a little bit with the high school segment, but, you know, the shift to kind of digital there, could you just talk about, you know, where that market is, you know, in general from a conversion standpoint, you know, the drivers behind that maybe from, like, a payback perspective and just, you know, what that means for you, you know, traditional boards versus video boards, from, like, a content perspective just as we think about framing that growth opportunity.
Reece Kurtenbach: Yeah. The high school market is very exciting. We've been, you know, it's really a wide open. Those customers have been buying what we call standard fixed digit scoreboards from us for years, but they have aspired to have more of a video, you know, what they see when they go to a professional stadium or college they'd like to see in their local high school stadium or gymnasium, and we're seeing that interest as the quality of the product has continued to improve and the prices have continued to become more competitive, more and more of these schools and organizations are reaching and installing video display systems. We think Daktronics has the best round out of display systems, control systems, and both the technical and professional services to make these types of customers successful and of the ten thousand high schools that are out there today, we think fewer than ten percent of them have converted one of their facilities to video as we sit today. And I might be low on ten thousand high schools. It might be more than that out there.
Aaron Spekella: Alright. No. That's good color. Thanks. And then, you know, just on kind of capital allocation, you know, it sounds like we'll get more color here in the coming quarters. But, you know, so you bought back some stock in the quarter, but just given, you know, where the balance sheet's at, you know, maybe just thoughts on kind of capital allocation at a high level with where that's at.
Reece Kurtenbach: Yeah. We continue to work with the board on capital allocation on a quarterly by quarterly basis. And we will, as you said, we will invest in the best way to get value out of our capex. How do we invest in just different development activities? We continue to look at especially tuck-in merger and acquisition opportunities and then, of course, ways to more directly give value back to shareholders through stock buybacks and other vehicles.
Aaron Spekella: Alright. That sounds good. Thanks for taking the questions. I'll turn it over.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Andres Vasestrom of Sidoti. Your line is now open.
Andres Vasestrom: Hi. Thank you for taking my questions. You mentioned the international is picking up. Are you seeing that continuing now into the fourth quarter, or how is that trending?
Reece Kurtenbach: Yeah. International has been soft for us really since the pandemic. And we've been seeing really good quoting activity, but a softness in turning those quotes into orders in prior periods. We're continuing to see an increase in that conversion rate, and we believe that absent a geopolitical incident, that trend is likely to continue.
Andres Vasestrom: And is there any specific region that's doing better or that you are calling out?
Reece Kurtenbach: Our strongest regions have historically been Europe, the Middle East, as well as Australia, and we're seeing good activity in those areas as well as some of the other areas outside those.
Andres Vasestrom: Okay. Thank you. And you also mentioned that you expected to spend about $40 million in annual product development. So you're gonna spend a little bit more on that, it seems like. But are you also implementing some digital transformation initiatives there that might make it also more efficient, in addition to spending more money on it?
Reece Kurtenbach: Yeah. We believe our digital transformation will really positively impact our operations and really every area of Daktronics. And so as we move forward into the future, we believe there will be efficiencies to be gained in product development, in our sales, in our services, as well as in our fulfillment operations.
Sheila Anderson: And I'll add on to that in our product development line too, there is roughly half a little less to spend on the control system side, which adds some of these unique features that help the customer automate or put up content. So that's also true.
Andres Vasestrom: Okay. Thank you. That's helpful. And then in terms of you mentioned also your supply chain. Could you just elaborate on that?
Sheila Anderson: Sure. We have a practice of having regular supplier meetings, but we're taking a more aggressive approach as we look to the future for our volumes and have started at the top of the supplier list and have worked our way through to make sure we're maximizing our terms and conditions for the company.
Andres Vasestrom: Okay. Thank you. I'll get back in queue. Thanks, Anja.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Mac Furst of Singular Research. Your line is now open.
Mac Furst: Yeah. Hi. This is Mac Furst of Singular Research. Question on the international markets. You said that the quoting activity has picked up internationally. And you mentioned a couple of continents, Europe, Australia. But you said that international the closure rate is not hasn't picked up. How would you explain that quote that may go up?
Reece Kurtenbach: Maybe I should clarify my comments, Mac, is that we've been seeing strong quoting activity, but the conversion from quote to order hasn't been strong in the past periods, but we've been seeing that picking up in the prior quarter and we believe it's still going on in the current quarter. And that absent, you know, some geopolitical event, we believe that we will see a higher conversion rate of quotes in coming quarters as well.
Mac Furst: Thank you. Thank you, Reece. I did have a question about the import tariffs, but the previous analyst took my question. So thank you very much for answering it previously. Thank you.
Reece Kurtenbach: Appreciate it. Bye.
Operator: Thank you. I'm showing no further questions at this time. I would now like to turn it back to Reece Kurtenbach for closing remarks.
Reece Kurtenbach: Well, thank you. I appreciate everybody who attended today's conference. I would like to let you know that we do have investor outreach activities planned in the next quarter, including our virtual Sidoti Small Cap Conference on March 19th and the Craig Hallum annual institutional investor conference on May 18th in Minneapolis. We will host our next earnings call when we release our year-end results, and then I might just say a few words that as you saw and as Andrew mentioned earlier in the call, I am stepping back from my role at Daktronics. I appreciated interacting with all of you over the last twelve years, and I believe Daktronics is in a great spot and look forward to seeing its success in the ongoing future. I wish you all a great spring, and you will be talking with Brad Wehman and Howard Atkins at our next call. Everyone, and bye-bye.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.